Operator: Ladies and gentlemen, thank you for standing by. I am Gelli, your Chorus Call operator. Welcome, and thank you for joining the OPAP S.A. conference call and live webcast question-and-answer session to discuss the first quarter 2025 financial results. Please note, a video presentation has been distributed and is also available on the OPAP Investor Relations website. [Operator Instructions]. The conference is being recorded. At this time, I would like to turn the conference over to Mr. Jan Karas, Chairman and CEO of OPAP S.A. Mr. Karas, you may now proceed.
Jan Karas: Thank you very much, Gelli. Good evening or good morning, and welcome to our regular Q1 2025 Results Conference Call. Hopefully, you had a chance to enjoy the results presentation we shared with you later today. As you have seen, 2025 has started well with the results. Solid organic growth driven by continued momentum in online and robust retail makes us confident that we will deliver our outlook for 2025. Key contributors in Q1 to this success have been Sportsbetting and iGaming, while Tzoker experienced a boost from favorable jackpot rollovers and very importantly, January is a record-breaking jackpot. So I'm looking forward together with Pavel on my side to discuss with you, and I suggest we go ahead and jump straight into the Q&A session. Gelli, over to you.
Operator: [Operator Instructions] The first question is from the line of Draziotis Stamatios with EuroBank Equities.
Stamatios Draziotis: I have 2, if that's okay, maybe we could take them one at a time for clarity. So my first question has to do with online. Could you comment on the OPAP's current competitive positioning in the online segment? Have you been gaining market share versus peers, particularly in casino and Sports-betting, especially since market data points to mid-teens growth in Q1 for online compared with your plus 20%. So how sustainable do you view the growth achieved in Q1, please?
Jan Karas: Thank you. So let's go one by one. Yes, we are growing our market share in our nonexclusive for online portfolio. The growth, as you have seen, was pretty strong in Q1, and we have no reason to believe that we should see any slowdown. So we hope we will continue on the positive trend.
Stamatios Draziotis: Okay. And related to that, actually, how has your own sports book been performing? Has this grown in sync with the overall growth that you've been reporting in your digital offering? And do you actually have any specific targets for your own digital offering within the next 2 to 3 years, please?
Jan Karas: Okay. Apologies if it was not clear. Well, we consider our own -- all of our online business, but you are most likely referring to what is operated on the OPAP brand versus Stoiximan brand. So specifically in Q1, we have seen a bigger year-over-year growth of our OPAP sports-betting and iCasino proposition. But that, at the same time, is something that makes sense with respect to the market share of Stoiximan versus OPAP. So overall, there has been a strong and positive trend. And we certainly work with an ambition that we should continue strengthening our position in both of the worlds following our strategy.
Stamatios Draziotis: Okay. And my other question relates to the recent award of the Lotto concession in Italy, where OPAP's parent company Allwyn was part of the winning consortium. Do you have any comments as to the extent to which this could serve as a blueprint -- sorry, for the core concession license renewal? And maybe if you could share any early thoughts on how the experience or approach in Italy might inform your preparations once the renewal process formally kicks off, please?
Jan Karas: Listen, when it comes to Italian license, as you correctly noted, this is our parent company, Allwyn agenda, not an OPAP agenda. So I'd like to abstain from commenting in any way on the tender itself. In terms of how it may be linked or not to the licensing process here in Greece, again, as I'm sure you are aware, licensees exercise is a super complex exercise where a large amount of factors is influencing the discussion. And finally, one of the most important elements, the price as such, that would be a complete speculation from my side to, at this point, comment on how much we believe, specifically this year, Italian Lotto tender will have an influence on what will be happening here in Greece.
Operator: The next question is from the line of Kourtesis Iakovos with Piraeus Securities.
Iakovos Kourtesis: With the renewal of Hellenic Lotteries license. Recently, there were some press reports indicating that the growth fund plans to proceed with a tender offer. Do you have any information related to this? And if this is the case, how would you plan to participate in the tender offer? Would you go by yourselves? Or would you go through a consortium, if you have any thoughts on this? And second question has to do with the dividend policy. Assuming despite the fact that you have tough comps in the second half of the year, assuming that you will have a better performance for 2025, would you consider increasing the interim and final dividend for 2025 versus 2024?
Jan Karas: Thank you for your questions. I'll take the first one, and Pavel will follow with the second question of yours. So on the first one regarding the Hellenic Lotteries license and the tender, just for the whole audience to be on the same page. The license is expiring in May 2026 or at the end of April. As we have informed you before, we certainly have expressed our interest in this license. Recently, indeed, a new law was certified, which promotes the tender for the license of state lotteries by the growth fund, which is running and will be running the relevant process. So when it comes to where we are right now, this is exactly the stage. We are waiting for the growth fund to officially start the tender, and we will certainly want to -- we will certainly proceed with our application. As to your sub-question specific form and shape of our submission, that is something that I would not like to comment on at this moment. We will keep you updated when the time comes.
Pavel Mucha: Okay. Good afternoon from me. I will take the second question on dividend. Our policy remains in place. That is to distribute the bulk of net profits with a minimum of EUR 1 dividend per share. So given the guidance we have provided, you may expect accordingly the dividend at least at similar level like last year. And of course, we will consider also interim dividend payment.
Operator: The next question is from the line of Pointon Russell with Edison Group.
Russell Pointon: A couple of questions from me. My first question is on lotteries. So revenue grew by 34%, 14% growth in online players. Now I understand that Tzoker was a big benefit to that. But more normalized, can I just ask, are you seeing an increase in spend per user on lotteries?
Jan Karas: So if I may, is this the end of your question?
Russell Pointon: Yes. Within the loss -- sorry, I have...
Jan Karas: You sounded like you want to say something. No, I just want to make sure I don't interrupt you. So if it's end of your question. So indeed, like you said, Tzoker was big. There was a historical jackpot and that obviously had a bit of an unprecedented customer base behavior. We have seen some impact on KINO in that matter when it comes to year-over-year comparison. But overall, lottery segment certainly recorded a promising 5.5% increase year-over-year in GGR and KINO, our flagship game, we have seen pretty stable in the same period when looking across retail and online. So overall, we are happy. I cannot answer your question exactly and accurately when it comes to ARPU because, as you know, there is a large part of the retail base or retail GGR that we don't capture as a data point linking revenues to a specific customer. And also, it is important to note that in Q1, there is obviously a major inflow of occasional customers that is then diluting the ARPU per player. But overall, I believe based on tracking the active players, both regular as well as occasional, as well as the overall revenues, we have across all these key KPIs, the positive trends that we wish to see.
Russell Pointon: And my second question on VLTs. There's some good information in the presentation. You're refurbishing lots of cabinets and there are still lots that haven't been refurbished. So I was wondering if you could give some indication of the relative performance of those that have been refurbished or upgraded versus those that haven't.
Jan Karas: Yes. Thank you. Overall, I cannot give you from top of my head here as a specific number, but it's certainly an initiative that is paying off. Otherwise, we would not be doing it as this is not something that only OPAP is involved, but also our VLT vendors are involved, and it makes sense to all the parties involved. Putting aside, this is an industry best practice when it comes to renewal of the machine, putting aside that this is a clearly customer research confirmed initiative, we are seeing a revenue impact. Now specific impact per machine differs based on the vendor, the machine, the locality. So there is -- overall, there is no one-size-fits-all answer as every machine we put in brings 30% increase in GGR per machine per day. I cannot make any such statement. But overall, this is something that we see working and certainly for the part of the network that we have covered so far. As with any economy of scale, obviously, when it comes to the tail and bringing some of the last hundreds of machines, the efficient -- the incremental efficiency of every single machine upgraded is decreasing. But so far, everything that we have done and everything that we have in our plans pays off. Last but not least, the whole cycle is spread across multiple years. So while some parts of the network will be refreshed, some other parts will be already going into the next round when it comes to specific vendors and specific locations. So this is also important to highlight that this is not onetime exercise, but this is pretty much becoming now a continuity.
Operator: The next question is from the line of Mantzavras Paris with Pantelakis Securities.
Paris Mantzavras: The first one refers to the legacy concession, which expires in 2030. And if I remember correctly, in the previous conference call, you had said that you have signaled your interest in initiating early negotiations for that concession. So the question is if you got back any feedback from government side? That's my first question.
Jan Karas: Thank you very much. Indeed, we are, of course, interested in extending our rights. This is one of the major agendas for us when it comes to exclusive game licenses beyond 2030. And indeed, we have publicly referred to this. So the relevant discussions have not started yet. So I don't have any updates for you on that front. But should there be any development, we will update you accordingly because we are well aware how much important topic it is for the investors community. On our side, we certainly are ready to start the discussions.
Paris Mantzavras: Okay. That's clear. And the second question refers to the current trading. I mean do you have any updates on any specific developments, let's say, sports-betting margins? Are you seeing anything unusual so far into Q2? That's it.
Jan Karas: As we have stated before, our guidance for the year remains unchanged. And rest assured, we would not be stating it if we would see any concerning trends. So we will come back to you with more details in the next quarterly results, but we are not seeing anything that would make us concerned about our own statement that we made. I hope that answers your question.
Paris Mantzavras: Of course, of course. That's clear. And the final thing is, when do you plan to initiate your newly voted through share buyback scheme? And how active do you expect to be on that?
Pavel Mucha: As you know, in the AGM, we got approval to continue with the program for the following 2 years. At the moment, we don't have plan to initiate in a large scale the buyback again. So at the moment, that is not in the plan, but we have the flexibility following the approval of the Annual General Meeting.
Operator: [Operator Instructions]. Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Karas for any closing comments. Thank you.
Jan Karas: Gelli, thank you very much, and thank you very much all for being with us today and for your questions. I hope we have covered everything that you wanted to ask today. But as always, our Investor Relationships team will be happy to address any additional questions you may have in the next days and explore your inquiries in more detail. We are looking forward to speaking with you again post summer for our Q2 2025 financial results call. Thank you very much for being with us today, and I wish you a great day, week, months and summer. Thank you. Goodbye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good afternoon.